Operator: Good morning and good evening. First of all, thank you all for joining this conference call, and now I’ll begin the conference of the Fiscal Year 2011 Third Quarter Earnings Results by LG Display. This conference will start with a presentation followed by a division and Q&A session. (Operator Instructions) Now, we shall commence the presentation on the Fiscal Year 2011 Third Quarter Earnings Results by LG Display.
Hee Yeon Kim: Welcome to LG Display’s Third Quarter Conference Call. My name is Hee Yeon Kim, Head of the IR Department. On behalf of LG Display, I would like to welcome everyone to our global quarterly earnings conference call. I am joined by our IR staff, as well as the representatives from TV Marketing and IT Marketing. J. S. Park is heading up the TV Marketing Department; Seong Lee is Vice President of IT Marketing Department. Next slide please. Before we move onto the earnings results, please take a minute to read the disclaimers. I would like to remind everyone that results are based on the consolidated IFRS accounting standards and this is not audited numbers. Next slide. This conference call will take an hour. Before we go into the Q&A session, please allow me to highlight our third quarter 2011 results, performance highlights, and outlook followed by future management forecast. Moving on to revenue and profits on the next slide. Revenue in the third quarter was KRW6.3 trillion, up 4% quarter-on-quarter. Besides the global economic downturn with higher value-added products such as FPR 3D and Smartbook, panel shipments rose by 9% quarter-on-quarter. However due to the continued uncertainty in the demand outlook, the blended ASP fell more than expected. In addition, non-recurring loss such as unrealized foreign valuation loss and the reserve for antitrust increased the operational loss to KRW492 billion. The operating margin was minus 8% and EBITDA margin was 7%. After taking out the non-recurring items, the adjusted operating loss was KRW260 billion. Loss before tax was KRW695 billion. Net loss was KRW688 billion. Looking at our financial positions and ratio, we have KRW2 trillion in cash and cash equivalents. Inventory fell by KRW450 billion to KRW2.4 trillion with active inventory adjustment during the quarter. Utilization ratio and the standard of no more inventory holding period was reduced in order to maintain a healthy inventory level. Our net debt to equity ratio increased to 25% due to slight decrease in cash, which is manageable level. Moving on slide five, looking at our cash flow. Cash at beginning of the quarter was KRW2.4 trillion. Cash flow from operating activities resulted in cash inflow of KRW867 billion and with active inventory adjustments, cash inflow from working capital was increase by KRW289 billion. Cash flow from investing activities resulted in an outflow of KRW947 billion, and cash flow from financing activities resulted in an outflow of KRW252 billion. As a result, the net change in cash was outflow of KRW332 billion. Moving to slide six, I would like to go over our performance highlights. Looking at our shipments, it increased by 9% quarter-on-quarter, recording 8.1 million square meters. Blended ASPs fell 5% quarter-on-quarter. With the global economic downturn, the demand uncertainty persisted throughout the channel. This resulted in lower than traditional two digit shipment growth seasonality and deeper panel price fall in third quarter. Moving onto our product mix on slide seven. In third quarter, the TV segment represents 47% of the revenue, followed by monitor at 19%, notebook at 14%, smartbook at 11%, and mobile and others at 9%. The percentage of revenue for each of the product mix is similar to the last quarter but the smartbook and mobile based on our AH-IPS technology showed the continued increase in portion by one percentage points each. Moving onto slide eight, and looking at our capacity. Our capacity increased slightly by 3% quarter-on-quarter due to increased working base compared to the previous quarter. Next we turn to our outlook section. In the first quarter, we expect our total shipment to increase by a low-single digit percentage. Demand outlook is still uncertain, however as the panel makers profitability concerns become severer, we expect the price fall to be limited going forward. Lastly, we turn our attention to the management focus on the next slide. We would like to firstly turn your attention on the issues regarding third quarter results. The posted operating loss stand at KRW492 billion due to the non-recurring items that I mentioned before. The non-recurring items included two parts. First, additional allowance for antitrust reserves as a possibility of product payment has increased. And second, unrealized net borrowing operation loss. With a sharp rise in the exchange rate at the end of the quarter, sectors such as customer architect payments and antitrust allowance based on U.S. dollar were affected and difference for deficit in the income statements. However most of our U.S. dollar debt is long-term debt with three to five year maturity period. And because of that on side, it’s passed over to the utilization gain if one dollar rate would be weaker. Going forward, the visibility this year will with uncertainty in the economic outlook, consumer spending really looks like continue till all the next year. However the inventory level throughout the whole channel is kept low from panel makers to the retailers and combined with a limited capacity increase in year 2012, we believe the industry will recover in the middle of the year 2012. On the assumption that economic downturn is likely to continue for foreseeable future, we at LCD Display, we are focused on the following two action points. One is the tighter cash flow management with a conservative CapEx and operational efficiency. Second is the profitability improvement through further product differentiation, on top of our existing FPR 3D tablet, smartphone technology, we will release touch total solution and OLED TV next year. By doing this, we wish to rapid and wide recovery. With that I will end my summary of third quarter results and management highlights, and would be happy to take your questions. Operator, proceed to Q&A session please.
Operator: Now Q&A session will begin. (Operator Instructions) The first question will be provided by Mr. Brian White from Ticonderoga Securities. Please go ahead, sir.
Brian White – Ticonderoga Securities LLC: Yes, good evening. I am wondering if you could talk a little bit about utilization rates. How it’s trended in the third quarter? Where we are now and what you expect for the fourth quarter?
Hee Yeon Kim: In third quarter, our utilization ratio was mid 70%. It is likely to be in mid 80% in Q4.
Brian White – Ticonderoga Securities LLC: Okay. And during the third quarter, did utilization ticked down each month, because I know you had a goal of a 100% by the end of the third quarter, so?
Hee Yeon Kim: Yes, we maintained the similar range of mid 70% every month. So the average number should be same as the each numbers – each month utilization ratio. We don’t have any sharp increase or sharp decrease during the month.
Brian White – Ticonderoga Securities LLC: Okay. And how should we think about CapEx in capacity expansion in 2012?
Hee Yeon Kim: In next year, our capacity increase should be limited to mid-single digit in terms of input capacity because we have existing P98 fab which is delayed to somewhere next year, so we have to include this kind of capacity increase. However without this P98 fab, we don’t have any plan to increase our capacity related to LCD size. So with this kind of assumption, our CapEx next year actually 18 months delivery wise our CapEx should be at around KRW2 trillion next year, however as we mentioned before, we delayed our P98 CapEx to somewhere next year. We have to pay some money next year, it means our cash flow basic CapEx should around be KRW4 trillion.
Brian White – Ticonderoga Securities LLC: Okay. And what are we doing this year? What’s the CapEx this year?
Hee Yeon Kim: This year cash flow base is KRW4 trillion, which is reduced from the original CapEx KRW5.5 trillion.
Brian White – Ticonderoga Securities LLC: Okay, thank you.
Operator: The next questions would be presented by Mr. Matt Evans from CLSA. Please go ahead sir.
Matt Evans – CLSA: Thanks for the call, thanks for taking my question. I’d like to ask about your touch strategy. Could you expand a little bit about whether you’re doing on-cell as well as in-cell, and when do you think it will be sort of commercialized? And can you give us any sense of the volumes you might do or whether this confirmed clients for that or it’s something that we’ll you know you’re sort of pitching to clients now and you hope to get orders from them in three months or six months, those sorts of things would be very helpful. Thanks.
Hee Yeon Kim: We have three solutions for the touch side. One is add-on (inaudible) and similar as the existing price. And second is the other one is on-cell and in-cell type as you mentioned. For the add-on purchase side, we already start the business with some of our tablet customers. And then in the middle of next year, we might release in-sell or on-sell purchase solutions. But we cannot mention about our customers and the right timing, right now please understand the situation.
Matt Evans – CLSA: Just trying on-cell, if you can do in-cell, why is that on-cell as well, is that because you need to see which one since that have better yield. So there are all different tracks. It takes the timing to commercialization or different type of touch with products?
Hee Yeon Kim: We already two kind of solutions but the choice of two of kind of solution will totally depend on customer’s appetite and customers need. So actually we have the first kind of customer in add-on [ph] solutions.
Matt Evans – CLSA: I just tried out to found that maybe what type of products might work better with in-cell and what type of products might work better with on-cell?
Hee Yeon Kim: It’s difficult to mention from my mouth, please understand.
Matt Evans – CLSA: Okay.
Hee Yeon Kim: But anyways the mobile and small size – mobile and medium size, we will deliver touch total solutions next year and also then we will add the (inaudible).
Matt Evans – CLSA: So it’s both mobile and smartbook, is it basically?
Seong Lee: Yes, this is Seong Lee. Basically touch solution will be applied to a post smartbook, a tablet and a smartphone. Right now we are making our efforts through the in-house total touch solution as Mrs. Kim mentioned, we are already supplying our touch panel to some of our customers add-on type and then early next year we will also start in-house very competitive total in-cell solution based on our in-house capacities. Next step will be in-cell and on-cell, as you mentioned but we feel the timing will be very critical to determine the time to market. Still we have lot of some technical and also cost hurdles. I believe our competitors able to see.
Matt Evans – CLSA: Yes.
Seong Lee: So in-cell and on-cell is the way to go. We understand that and also we are preparing. So it is going to be sometime in the second half of next year if it works [ph].
Matt Evans – CLSA: Okay, I’ll go back in the queue if there is any time in the end, I’ll ask follow-up. Thank you very much.
Operator: The following questions would be presented by Mr. Andrew Abrams from Avian Securities. Please go ahead sir.
Andrew Abrams – Avian Securities LLC: Hi, thank you. Can you talk a little bit about any impacts that you are expecting from the problems with hard drives, the flooding. Is it going to slow you guys down in terms of production or you getting feedback from your customers on monitor or notebook side?
Seong Lee: Yes, as you know very well currently we are also very closely monitoring the situation in Thailand, the flooding situation. According to our internal checks, still some potential risk in first quarter next year not this quarter because many of our customers still have some (inaudible). But if the issue arises, we believe it will be a very minimal less than 3% to 4% for the total demand for next quarter.
Andrew Abrams – Avian Securities LLC: That would be first quarter of 2012, you’re talking about?
Seong Lee: Yes, if we are…
Andrew Abrams – Avian Securities LLC: If there is, right.
Seong Lee: On that issues, it is right [ph].
Andrew Abrams – Avian Securities LLC: Okay. And if you could talk a little bit about how you are going to be spending the dollars, I don’t need as much on the cash side but the CapEx dollars for 2012. How does that breakdown between the new fab or the new line and maybe LTPS and all that other spending process?
Hee Yeon Kim: Actually again our delivery base is CapEx and as I mentioned before there should be KRW2 trillion. Among them, around 25% for new investments for the new technology but the remaining CapEx will be related to LCD side, the (inaudible) from this year.
Andrew Abrams – Avian Securities LLC: I am sorry I missed what you said that was for the new line in the G-8 fab [ph]?
Hee Yeon Kim: Yes, Gen-8 fab and some Oxide, XPS and OLED which was…
Andrew Abrams – Avian Securities LLC: So Oxide and OLED would be in that 75% and the 25% would be for new investments?
Hee Yeon Kim: Yes, can I just split it in the 75% and 25% is the. So if you look at only for the new technology for the Oxide OLED in this kind of situation, they should be around 30% to 40%.
Andrew Abrams – Avian Securities LLC: Got it. Okay. And can you talk a little bit about what you guys see in terms of overall industry capacity, not only yourselves but I mean I am sure you’re aware of what other people are doing. Are you expecting on an overall basis capacity, a substantial capacity change in 2012, and also in terms of what the fabs are being used for what would you expect your TV mix to be in 2012 on an overall basis?
Hee Yeon Kim: Next year industry capacity growth should be mid to high single-digit based on our existing assumptions. And also we think TV mix should be similar to this kind of situation because although our mobile and smartbook demand is quite strong, our FPR TV demand should also be quite strong next year. So we don’t expect any significant mix change next year. We have every new product segmentation or specialty products in its application. In TV, that’s FPR 3D, in monitor that’s IPS monitor and FPR monitor, I think (inaudible) and also in the mobile and tablet side we have iPad and smartphone based on AH-IPS technology.
Andrew Abrams – Avian Securities LLC: Got it. And you just showed an OLED product I think it was yesterday, can you just talk a little bit about what that product actually is and what stage you’re at or you actually selling them or you still in the developmental stage?
Hee Yeon Kim: We will release big sized OLED television in the middle of next year. It’s our plan for the OLED TV roadmap. And actually we already decide our backplane technology for our OLED that’s Oxide based and in case our – the partition methodology, we are considering some solution so we will finalize the one solution at the end of this year. So it means, we are in trade with our product schedule, development schedule for our OLED TV. You might see our television in this year too [ph], and you might see the real OLED TV in the middle of next year in the retailers.
Andrew Abrams – Avian Securities LLC: Okay, so on the TV side, you should see something by kind of in the middle of next year. What about on the phone or tablet side? What’s your schedule there on OLED?
Hee Yeon Kim: For small size, we don’t consider OLED solutions because right now our technology AH-IPS is distributed to OLED in terms of resolution and better consumption. Although OLED has a strong point, mobile is not that efficient to review the strong point of OLED. And also OLED such as better consumption or resolution is a critical point for the mobile solution. So we will not release OLED mobile or tablet for the time being. If we think real value for the mobile solution is OLED stuff, there should be the flat (inaudible) plastic in that area, we are developing.
Andrew Abrams – Avian Securities LLC: Got it. Great, thank you. Also how much U.S. dollar debt did you say you had, I couldn’t hear what the number was?
Hee Yeon Kim: In terms of one basis around KRW2 trillion.
Andrew Abrams – Avian Securities LLC: Got it. Great, thank you very much.
Operator: The following questions will be presented by Mr. Arthur Lai from Citigroup Securities. Please go ahead sir.
Arthur Lai – Citigroup Global Markets: Hello, a question on the touch panel. So we mentioned that next year will be KRW2 trillion and where is CapEx include in in-cell on-cell capacity expansion?
Hee Yeon Kim: Actually the CapEx for the touch side is not a big issue for us. It is very negligible portion.
Arthur Lai – Citigroup Global Markets: Okay. And how we can expect your touch capacity for next year?
Seong Lee: At this moment, we are still in the middle of living here, next year is plan and currently we are expecting somewhere between five million to eight million unit capacity for tablet, and also several millions of monthly capacity for smartphone area.
Arthur Lai – Citigroup Global Markets: Okay, thank you.
Operator: The next questions will be presented by Mr. Olga Levinzon from Barclays Capital. Please go ahead sir.
Olga Levinzon – Barclays Capital: Hi, thanks for taking my question. Just two questions, for your 3Q results, can you talk about what sort of cost declines you saw quarter-over-quarter? And for the fourth quarter shipment guidance, can you also discuss how much of that is coming out of inventory versus the utilization increase and actually increase in the output?
Hee Yeon Kim: Firstly, in terms of cost reduction, our actual cost reduction was 5%. However, we have to reflect utilization adjustments and FX rates with this kind of adjustment our third quarter cost reduction turned 2%. It did answer for your question?
Olga Levinzon – Barclays Capital: Yes, and then just out of the 4Q, how much of that is coming from inventory versus the utilization increase and actual increased output?
Hee Yeon Kim: Actually to understand the Q4 production inventory and our shipments, I think it should be better to understand the second quarter and third quarter relationship. If you look at our shipment growth in third quarter, that was 9%, but even in this situation our utilization ratio reduced to mid 70% from mid 80% in second quarter. It means third quarter shipments came from the production plus inventory adjustment, inventory clearance. However we are now reaching to the lowest level of our inventory. It means we don’t have any loan to resist our inventory. So going forward our shipments will mostly relate to our actual production. So much of our actual shipments will come from the actual production.
Olga Levinzon – Barclays Capital: Got it. And then just one, I am sorry.
Hee Yeon Kim: So our inventory will be remained at the end of third quarter ranges, however at the end of Q4, let’s say in December we will adjust our inventory to maintain our new normal inventory holding period. So it means total amount of inventory should decline quarter-on-quarter.
Olga Levinzon – Barclays Capital: Got it. And then just a quick follow-up, for the – this year’s CapEx, can you talk about what the split is between LCD versus LTPS and OLED?
Hee Yeon Kim: In case of LCD that’s around 45% or 50% and 35% for new technology and the remaining is maintenance CapEx.
Olga Levinzon – Barclays Capital: Got it, thank you.
Operator: The following questions would be presented by Mr. Brian White from Ticonderoga Securities. Please go ahead sir.
Brian White – Ticonderoga Securities LLC: Okay. It’s a little difficult to hear everyone today, so I am going to ask the question, I know you answered it, but it was difficult to hear. The cost reduction in the third quarter, what was that, the cost down and what are you expecting for the fourth quarter?
Hee Yeon Kim: Our actual cost reduction was 5% in our internal books, however in the financial statement our cost reduction was 2% that came from the utilization adjustment and FX impacts. So if we take our utilization adjustment FX impacts, we will try to get similar range of cost reductions but however, we also increased our specialty products in cheaper [ph] but this kind of specialty products cost itself is higher than the commodity products, so actual cost will increase. However as I mentioned before, if we take out this kind of utilization FX and mixed impacts, our cost reduction should be similar in the third quarter.
Brian White – Ticonderoga Securities LLC: Okay. Specific to tablets, how many units of tablets are you shipping in 2011 and what’s your goal for 2012?
Seong Lee: Yes, still we have about at this moment but approximately little over 40 million for this year.
Brian White – Ticonderoga Securities LLC: Okay.
Seong Lee: And next year, more than 70 million.
Brian White – Ticonderoga Securities LLC: And with your biggest customers, excuse me, with your biggest customer will you maintain your share in 2012 or might that go down?
Seong Lee: Yes, we believe we can maintain our market share for the number one customer even in year 2012.
Brian White – Ticonderoga Securities LLC: Okay. And finally I didn’t hear the comments around the China fab, where are we in investing in the China fab, when does it open?
Hee Yeon Kim: For the China fab we can deliver official comment. Actually China fab ramp-up schedule will depend on the market situations. It’s not that easy to announce we will be very aggressive, good to invest in China fab. Anyway we will wait and see the market conditions.
Brian White – Ticonderoga Securities LLC: Do you have plans to open it next year, you may not be aggressive, but you want to open or even that’s unclear?
Hee Yeon Kim: Let’s put it this way, although we don’t have any specific timing plan, we don’t know this that should be this year or next year but one clear thing is we don’t want to increase global capacity. We are continuing lots of solutions to meet the kind of conditions building China fab, no increase of capacity. So we are finding the solutions. That’s the real situation.
Brian White – Ticonderoga Securities LLC: Okay. and final question, as we look into the fourth quarter, what end markets do you think will show the strongest quarter-on-quarter growth, TVs, notebooks, smartbooks, phones, what do you think would show the strong growth quarter-on-quarter?
Hee Yeon Kim: It is clearly smartbook and smartphones in Q4.
Brian White – Ticonderoga Securities LLC: Great, thank you.
Operator: The following questions will be presented by Mr. Matt Evans from CLSA. Please go ahead sir.
Matt Evans – CLSA: Yes, thanks. Just coming back to the touch, is there any – so there is no CapEx basically related to that, you’re seeing in 2012 because its integrated into the backplane manufacturing in the case in-cell I guess, is that right?
Hee Yeon Kim: Actually as we mentioned, it will be negligible. Negligible means nothing (inaudible) so it’s not little amount.
Matt Evans – CLSA: Is that very small?
Hee Yeon Kim: Very small because of the (inaudible) process.
Matt Evans – CLSA: Okay, and earlier you mentioned with some capacity numbers that those are your current capacity numbers eight million to eight million per month for tablet, seven million for smartphones?
Seong Lee: Yes. The figure that I gave you was the next year. Yearly capacity for year 2012.
Matt Evans – CLSA: Is that at the end of 2012 or that’s the average for the year?
Seong Lee: Average of the year. That’s total yearly output for tablet.
Matt Evans – CLSA: Okay. And on for high-end tablets what’s your competitive advantage against Sharp, I know that Sharp is already doing Oxide TFT, tablet displays.
Seong Lee: Actually they are developing but still not in mass production yet. We are also doing our R&D, the development for Oxide for multiple areas, for TV and also tablet, smartphone all of these segments. But I think that most important one is the time to market. At this moment what we are putting our product is to how we can meet our customers the target cost and also product positioning. And at this moment, we believe that AH-IPS is the solution for the time being. So we are currently living as I mentioned, we have technology and also we are developing the Oxide based products. So when time comes, then we will do time to market. But we believe the time is not yet.
Matt Evans – CLSA: But the time is not yet on Oxide because you haven’t – you’re not ready to make those yet right?
Seong Lee: In terms of the cost, and also in terms of the customers requirement.
Matt Evans – CLSA: Okay. All right, and on OLED you mentioned in the local analyst briefing that based on the targeted capacity in theory if you’re a 100% yield, you would be at I think 50,000 or 60,000 a month for 55-inch, fixed cost [ph] per customer panel I guess times 10,000 or something like that but what can we – it sounds like that’s quite, you’re setting expectations quite high, I mean what should we think about for realistic ramp-up and yield and so on. Should we really be thinking about tens of thousands of units come up potentially by midyear for OLED TV or is that just a way you’re going to you know when you reach the capacity goal and some quarter later?
Hee Yeon Kim: Actually right now we have 8K (inaudible) input capacity for OLED in 8 generation. So in this with the fixed costs for one (inaudible).
Matt Evans – CLSA: Yes.
Hee Yeon Kim: It means for the 8K (inaudible) production if our ratio would be 100%. That’s correct numbers, correct situation. And then actual ramp-up or utilization, they should be totally depend on the market situation, anyway one clear thing is we will release 55 (inaudible) in the middle of next year and then third kicking out the market response basically price point versus OLED TV value we will decide our mass production. But right now we don’t have any mass production plan yet. Maybe at the end of next year, we can deliver our clear plans for the mass production for OLED TV.
Matt Evans – CLSA: But my point is that even that 100% yield assumption is quite ambitious right, I mean based on the experience with 4G. I know you’re doing wide OLED so it should be easier, but you should be really be assuming as immediately go to 8K, so it’s very high yield?
Hee Yeon Kim: Actually I think that some misunderstanding when you get some message. 100% is not our target, that’s just an assumption to make the investors understand it clearly.
Matt Evans – CLSA: But no one can understand it that way that’s the problem, that’s why I am just trying to be clear on this because everyone is going to saying you’re going to 50,000 a month.
Hee Yeon Kim: I think we can say 80% yield ratio assumption, 90% yield ratio assumption based on our LCD base. But this is just kind of a assumption. But right now it’s very early to mention about our yield ratio and not mass production strategy. So we will be maybe in the middle of second quarter we can deliver our yield ratio.
Matt Evans – CLSA: Yes, I agree it’s much too early to be talking about it. Okay, I understand. All right, thank you very much.
Operator: The following questions will be presented by Mr. Wamsi Mohan from Bank of Merrill Lynch. Please go ahead sir.
Wamsi Mohan – Bank of Merrill Lynch: Yes, thanks for taking my question. Question is on what percentage of your panels are you using glass that is thinner than 0.7 millimeters. Can you please comment on that?
Hee Yeon Kim: For that question, sorry I don’t have the data in front of me. I will get back to you after checking out the numbers tomorrow.
Wamsi Mohan – Bank of Merrill Lynch: Okay, sure. Thank you.
Operator: The next question is presented by Mr. DS Kim [ph] from UBS Securities. Please go ahead sir.
DS Kim – UBS Securities: Thank you very much for taking my question. I have very big three questions, firstly, could you please give us your portion of higher margin specialized product in second quarter, third quarter and outlook for fourth quarter and next year such as like FPR 3D, smartphones and tablets? And second question is that if I understand correctly, utilization rate will likely increase I believe from mid 70s in this quarter to mid 80s in the next quarter. Whereas shipment guidance is only for like low single digit growth. So that means you will be restocking inventory towards at end of this year if so, by how much? And third one is the, I missed the touch capacity numbers for tablet and smartphones next year, so could you please repeat that again? Thank you.
Hee Yeon Kim: For first question our specialty product portion in second quarter that was near 30% and third quarter that was high 30%. And in Q4, we are targeting nearly 40%. And second question, say the second I cannot remember your second question. It’s not a short question.
DS Kim – UBS Securities: So second question was the utilization rate would likely increase sharply in fourth quarter versus third quarter, but your shipment guidance is only for like for low single-digits, so that means you’ll be restocking inventory towards the end of this year or?
Hee Yeon Kim: I already gave you an answer. Actually you have to consider the inventory issue. In third quarter although our shipment increase was 9%, our utilization was declined by 10 percentage points. It means inventory adjustments, inventory clearance the very big portion in the third quarter actual shipments. However in Q4, although we increased our utilization ratios that kind of increased the production, should be all shipments. So our inventory should be similar or decline quarter-on-quarter.
DS Kim – UBS Securities: Thank you very much.
Hee Yeon Kim: I think you also have third question.
Seong Lee: Yes, third question was about the touch capacity.
DS Kim – UBS Securities: Yes, please.
Seong Lee: The previous number that I gave, the five million to eight million that is our annual supply capacity for touch smartbook, the tablet touch. And yearly, somewhere between five million to eight million, as I mentioned we haven’t fixed here next year’s not planned yet.
DS Kim – UBS Securities: Sure.
Seong Lee: So still in the middle of living. And also for smartphone monthly several millions. And also we are still leaving this thing as well. So at this moment it’s very difficult confirm the exact number, so please understand that.
DS Kim – UBS Securities: Sure, thank you very much.
Operator: Currently, there are no participants with questions. Please press star one to present your question. The following questions would be presented by Mr. (inaudible) from Hybridz Capital [ph]. Please go ahead sir.
Unidentified Analyst: Hi, thanks for taking my question. Can you talk a little bit about how we should think about your components, LCD components meaning the LU [ph], glass, LED and so on, in terms of pricing and solace the inventory?
Hee Yeon Kim: Component pricing and inventory.
Unidentified Analyst: Yes.
Hee Yeon Kim: Your question is related to component pricing and inventory.
Unidentified Analyst: That’s right.
Hee Yeon Kim: Actually I think pricing means you are trying to know about price pressure or price cost range.
Unidentified Analyst: Yes, because in the past you have mentioned about both margins to be embed so there were limited amount of price pressure that’s put on component makers. I am just wondering whether that’s changed and to what degree?
Hee Yeon Kim: Actually we don’t have any – we cannot release the individual specific component price reduction, but however in total our component price reduction was low single-digits in third quarter and maybe in fourth quarter as I mentioned before we tried to achieve the similar range of cost reduction in Q4. However in Q3, we had 5% cost reduction.
Unidentified Company Representative: Yes.
Hee Yeon Kim: That came from the cost reduction from the material price and then our overhead cost reduction and also our recent improvement that’s also the one reason.
Unidentified Analyst: So for fourth quarter, it’s more likely to be low single digit rather than the minus 5%?
Hee Yeon Kim: We try to get the similar range of cost reduction.
Unidentified Analyst: Okay, thank you. And on whether component inventories is (inaudible).
Hee Yeon Kim: Component inventory side, we think throughout the whole chain from component LCD and makers and retailers, inventory situation is very sound because – not because of the demand situation but because of the just in demand outlook. Every channel participants are very conservative to handle the inventory.
Unidentified Analyst: Okay, thank you.
Operator: The next questions will presented by Mr. Matt Evans from CLSA. Please go ahead sir.
Matt Evans – CLSA: Thanks for taking another follow-up question and sorry to ask you this question the third time, but I just wanted to make it very clear. For next year your plan to ship about 70 million tablets, I note 70 million you think five million to seven million will have the touch solution, is that right?
Seong Lee: Okay, this is Seong Lee. Let me make some correction. As I mentioned, we still in the middle of living next year project plan, still the quantity is not fixed yet, so I gave you some ranges.
Matt Evans – CLSA: Okay.
Seong Lee: Actually 70 million is somewhat aggressive number. I will say it is going to be little over 60 million.
Matt Evans – CLSA: Okay.
Seong Lee: According and also the smartbook for IT makers and also mobile phone carriers. And among a little over 60 million tablet, the five million to eight million is somewhat small, that’s for actually IT makers. And also more than 10 million for mobile phone and carriers. So combining together it is going to be close to 20 million. So I just want to give you some portable number at this moment.
Matt Evans – CLSA: Okay.
Seong Lee: Please understand I cannot you give you the exact number at this moment, okay?
Matt Evans – CLSA: Okay. So 20 million for 7-inch to 10-inch basically?
Seong Lee: It is right. Seven to – from 7- inch to 10-inch LEDs. That’s right.
Matt Evans – CLSA: And could you give us similar rough guidance for the handset side, how many units total and how many touch solution?
Hee Yeon Kim: That’s really kind [ph] of question, so we will get back to you and we do transitions, statistically we don’t have a set of data yet.
Matt Evans – CLSA: Okay, I just wanted to clarify because there was a number given earlier and I didn’t catch whether it was several million a month, it was seven million a month?
Seong Lee: Several millions a month.
Matt Evans – CLSA: Okay, thank you.
Operator: The following questions would be presented by Mr. Brian White from Ticonderoga Securities. Please go ahead sir.
Brian White – Ticonderoga Securities LLC: Just a clarification here. When I asked tablet units, I am really specifically asking about tablets, and not smartbooks. So when you said over 40 million in 2011, is that tablets or does that include smartbooks?
Seong Lee: Actually we call tablets as a smartbook. The smartbook means the tablet. The same device.
Brian White – Ticonderoga Securities LLC: Okay. So tablets you’re saying over 40 million in 2011 and you’re saying what for 2012? 50 or 70 million?
Seong Lee: 60 million, little over 60 million, yes.
Brian White – Ticonderoga Securities LLC: Okay, thank you.
Operator: Currently there are no participants with questions. Please press star one to present your question. The next questions would be presented by Mr. Steven Hong [ph] from (inaudible). Please go ahead sir.
Unidentified Analyst: Thank you for taking my question. I just got three question for our touch customer and the tablet customers, for the third generation tablet, will the TFT technology be based on Amorphous or Oxide [ph]?
Seong Lee: I think it is a little early to say whether it’s going to be Oxide or Amorphous but at this moment we have some confidence current at this technology, we are planning to our current tablet will continue from time being because it is very competitive and also it is satisfying all – most of the customers the polymers [ph]. We understand Oxide can be one of solutions in the long run, and still there are many hurdles technically also on the product side, but as I mentioned in previous my statement LG Display is also developing Oxide, preparing some technologies.
Unidentified Analyst: All right, thank you. Yes, for second question, still focused on this third generation tablet. When do you expect the shipments to kick in, I mean for the (inaudible).
Seong Lee: I think your question is about the second generation iPad 3, but that’s the customers issue is I think out here is not proper to mention about the timing. We don’t know what timeframe taken to rollout the product. But at this moment, the only thing you can say is that we are currently developing and will be prepared to supply the panel as planned. And this is all I can say.
Unidentified Analyst: All right, thank you.
Operator: The last question will be presented by Mr. Matt Evans from CLSA. Please go ahead sir.
Matt Evans – CLSA: Yes, the last one is flexible and plastic substrate displays. How far away do you think you are from being able to start making those? Are they couple of years away or one year, three years?
Hee Yeon Kim: Actually we don’t think one or couple of years away because we already released eBook concept with the plastic [ph]. So if there is a strong demand from the market, the timing for the plastic solutions will be near, near means I am not sure but anyway in existing our 4.5 generation OLED fab, we are doing every effort to develop plastic solutions, not like flexible [ph] plastic should be first and in case of flexible solution it will be several years away.
Matt Evans – CLSA: Okay, so…
Seong Lee: I think plastic can be available replacing cut on glass cover, so I think the plastic cover in the beginning will be available, but still it takes some time but it’s not too far away at the moment.
Matt Evans – CLSA: So this would be rather than thinking about as a flexible display, we should think of it as an unbreakable display? Is that right?
Seong Lee: Not actually, cover plastic is strengthening the device itself. So unbreakable device is supposed to be plastic substrate but it will take much more longer time.
Matt Evans – CLSA: Okay, so you’re talking about replacing by the cover glass with plastic?
Seong Lee: Yes in the beginning, that is right.
Matt Evans – CLSA: I see. Thank you very much. It’s very helpful.
Hee Yeon Kim: We would like to thank you all for joining us today. If there is any further questions please feel free to contact our IR team. We wish you good morning or good evening. Operator, please close the conference call.